Operator: Ladies and gentlemen thank you for standing by and welcome to the REX Stores Fiscal 2007 fourth quarter earnings conference call. During the presentation all participants will be in a listen-only mode. After the presentation we will conduct a question-and-answer session. At that time if you have a question please press the 1 followed by the 4 on your telephone. If at any time during the conference you do need to reach an operator please press the * followed by the 0. As a reminder, today’s conference is being recorded today, Wednesday, April 2, 2008. It is now my pleasure to turn the call over to Mr. Doug Bruggeman, Chief Financial Officer. Please go ahead, Sir.
Doug Bruggeman: Good morning everyone and thank you for joining REX Stores Fiscal 2007 fourth quarter conference call. We’ll get to our presentation and comments momentarily as well as your questions and answers. First I will review the Safe Harbor disclosure. In addition to historical facts or statements of current conditions, today’s conference call contains forward-looking statements that involve risks and uncertainties within the meaning of the Private Securities Litigation Reform Act of 1995. Such forward-looking statements reflect the company’s current expectations and beliefs and are not guarantees of future performance. As such, such results may vary materially from expectations. The risks and uncertainties associated with such forward-looking statements are described in today’s news announcement and in the company’s filings with the Securities and Exchange Commission including the company’s reports on form 10K and 10Q. REX Stores assumes no obligations to publicly update or revise any forward-looking statements. With that I’ll turn it over to Stuart Rose, Chairman of the Board for the presentation.
Stuart Rose: Thank you, Doug. Thank you for listening everyone. Our earnings last year were $33.9 million versus $11.4 million. Earnings per share $2.89 last year versus the year before $0.98. Retail earnings were roughly $9.8 million versus $5.8 million the year before on down comps of 6.7%. Alternative energy last year was $22.4 versus $0.2 million. Again, a large increase over last year. For the quarter, earnings were $5.9 million versus $3.6 million. Earnings per share $0.52 versus $0.30. Retail virtually doubled at $3.6 million versus $1.8 million. Comps were up 2.4%. Alternative energy $3.4 million versus $1.5 million. In talking about retail we feel very proud that during a very, very difficult year we managed to show nice increases on our continuing operations. There were a few things that caused that. The biggest thing is we now have a very, very healthy base of stores. We have employees that work hard. Traditionally we do better in tough times because of our opportunistic buying. To put it all together we actually not just increased earnings but increased comps. In our industry, again, that is something we are very proud of. Another thing people should notice is our equity in retail is way down from what it was before, probably excluding real estate around $20 million at year end. Again, the number of earning $9.8 million, again there is no rent factor on some of our real estate but a lot of it there is now. That is a healthy number and it is the first time in a long time we can say our retail is doing well on a return on investment standpoint or return on investment basis. For the current year I expect a benefit from a couple of things. One is the checks being sent out by the IRS. The extra checks should be about the right size for people to buy our digital flat screen television sets so I think that should be a huge boost to our industry. Another thing is the final phase out of analog television. Again, a lot of our customers still have analog televisions. We hope a fair amount of them replace them and we are the company they replace televisions with. We are optimistic on the current year. Our comps are still running positive, again in a very difficult sales environment. We are still running slightly positive comp sales for this couple of months of the year. In terms of alternative energy, we have now closed down all of our synthetic fuels plants. We made approximately $6.9 million in 2007. Those plants are now closed and we have refocused our energy in that area. For our ethanol plants during the year we made about $24 million on the sale of an ethanol plant. It was the [millennium] plant which sold to U.S. Bio. We had cashed in all our shares so the $24 million is a real gain. It is not a paper gain any longer and that now shows up on the balance sheet now on the cash side. In terms of the other plants we are invested in, Big River we have been invested in an operating plant now for over a year. It was profitable last year and continues to do well. We have $21.5 million invested in a plant in Levelland, Texas. That is opening as we speak right now. We have $16 million in a plant called Patriot outside of Davenport, Iowa. That will be opening some time during the summer is our best expectation. The final one is Gibson City which will be opening next year. We have $50.8 million invested in that and that is located outside of Champagne. True to our strategy and what we think Gibson gives us an edge in this business is we own all of these plants with farmers and I think it should give us a big advantage on the corn side. We are working directly in many cases we won’t be dealing with a middle man; we will be working directly with our farmer-owners. We think that corn, we have always thought corn was a key ingredient to ethanol, and we think with this type of arrangement our overhead and cost of goods sold will be very, very competitive to the industry. Also, with oil at $100 a barrel there is more and more blenders competing for our product. We think with oil where it is today and the price of gasoline where it is today this will be a profitable business for us. In terms of where we stand today on the balance sheet we had $127 million in cash on the balance sheet. $97 million of that was available to us and could be used for any operations or any future endeavors including looking at any other alternative energy opportunities or share buybacks or the like. We did buy back a fair amount of shares last year. Also we have $45 million of real estate still on our books including about 50 properties and two distribution centers. Again, we think this is something we may…in a sale last year we did very well and we think these pieces of property are worth significantly more than they are presently showing on the balance sheet. Again, in conclusion it was a tough, tough time last year in retail. The tougher times get our people just seem to thrive. People shop a little bit more and with sales people on the floor we are able to close a few more transactions than other people. Also during tough times there are more buying opportunities. People cancel orders and people go out of business. We have always made ourselves a company that the suppliers like to go to for that particular product because we respect their integrity in the market place and we pay our bills. So we have generally done better in tough times so far and the numbers are showing that. At this time I’d like to leave the forum open for questions. Any questions?
Operator: Ladies and gentlemen if you would like to register a question please press the 1 followed by a 4 on your telephone. You will hear a tone prompt to acknowledge your request. If your questions have been answered and you would like to withdraw your registration, please press a 1 followed by the 3. We also would like to ask that if you are using a speakerphone to please lift your handset before entering your request. One moment please, gentlemen, for the first question. Our first question comes from the line of Rick Weinhart with BMO Capital Markets. Please go ahead, Sir.
Rick Weinhart - BMO Capital Markets: Good morning, Stuart. Good morning, Doug. A couple of questions. First, on the stock buyback program you had significant uptake in the volume of your stock recently. I think regulations should allow you, if you choose to, to be a little bit more aggressive in buying back your stock through open market purchases. I’m just wondering what your thoughts are now on the stock buyback given the amount of cash you have got and the kind of window of opportunity you might have here?
Stuart Rose: At this point and time we still have, Doug correct me if I’m wrong, about 200,000 shares outstanding on the old buyback. We buy our stock like everything else. If there is an opportunistic place to…we don’t just buy it arbitrarily because we can, we buy it to support what we consider basically ridiculously low levels. So that is what we have historically done. So I would not…we have some authorization left over and as you have pointed out very, very clearly we have plenty of money to do another authorization should the board choose to do one.
Rick Weinhart - BMO Capital Markets: I think historically you have talked about a good value price for the stock and you have looked at book value, you’ve looked at market value of your assets…on all those relative bases the stock still trades at a discount. Is there any reason to suggest that you don’t think this is a good value price even at $15 or $20?
Stuart Rose: No there is not.
Rick Weinhart - BMO Capital Markets: Okay. Moving on I have one question in the results for the fourth quarter. This finance chart, or unrealized loss on financial instrument I believe. Doug can you just clarify what that is for us?
Doug Bruggeman: It has to do with interest rate swaps related to…for the ethanol facilities. We consolidated Levelland/Hockley and One Earth and both of those entities entered into interest rate swaps in December. Some were required by the bank in order to fix the rate and obviously pursuant to what has happened to the interest rate environment since the early part of December it has turned into a negative valuation at that point. It is a non-cash item and it will turn itself off. In the case of Levelland it is a 2-year swap. On One Earth it is a 5-year swap so it will turn itself around over that time period.
Stuart Rose: Taking that charge now will lower our interest rate over the period of time. It is related to some fixed rate debt.
Rick Weinhart - BMO Capital Markets: Got it. So your cash rate will be perhaps a little bit higher than you were reporting?
Stuart Rose: Exactly. In the overall it is not huge.
Rick Weinhart - BMO Capital Markets: No. I just wanted to understand so in the future what it means. On the real estate, can you refresh my memory but you had a significant number, I think it was 19 stores that were on a month-to-month lease as of January from the last large real estate transaction. It didn’t look like you closed too many of them if any at all. Can you update us on the status of those? What are the plans there?
Stuart Rose: We close them if they were not doing well as you can see. Retail has done a lot better. They have the opportunity to…they are not at a level…they are covering the rents and in some cases making a decent return so at this point in time we didn’t deem it necessary to close them.
Rick Weinhart - BMO Capital Markets: Okay so those 19 anyway…the 9 we saw closed in the quarter are not related to that?
Doug Bruggeman: Fourteen properties on the month basis, basically.
Rick Weinhart - BMO Capital Markets: Okay thanks. Stuart, last question on real estate. The distribution centers, as you continue to shrink the store base here, any updates or plans on what you may do with the additional capacity?
Stuart Rose: We have too much capacity for our stores today and again we know that and we’re working on it.
Rick Weinhart - BMO Capital Markets: Okay. Last question Doug is on the CapEx in the quarter. Do you have that? Just trying to get a feel for what the number was and what it was for each project I guess so we can break it out.
Doug Bruggeman: Actually I don’t have it for the quarter. I do have it on a year-to-date basis.
Rick Weinhart - BMO Capital Markets: That’s fine.
Doug Bruggeman: It was on the year REX had $1.8 of capital expenditures, Levelland/Hockley $40.6 million and One Earth about $26.5 million.
Rick Weinhart - BMO Capital Markets: Okay. So Levelland we are done with that at this point as of the end of January? Or do you still have something left on that?
Doug Bruggeman: Yeah there is some left to be done on that yet.
Rick Weinhart - BMO Capital Markets: Okay. Great. Thanks very much.
Operator: The next question comes from the line of Mike Neary with Neary Asset Management. Please go ahead.
Mike Neary - Neary Asset Management: Hi guys. Can you just provide a big overview of cash and debt? What is going to happen over the next year and a half to cash and debt just from the ethanol expenditures?
Stuart Rose: Again, added $127 million. A lot of that is consolidated. But the $97 million that is all we have to spend on ethanol. The $97 million that is available, we are basically unless we choose to put more in we have honored our commitments. The $97 million as I said is free and clear and usable any way we choose. In terms of debt…it gets a little complicated because of the consolidation of the ethanol plants. Doug do you want to go over that? How much is debt on real estate and the rest?
Doug Bruggeman: I definitely can do that. $13 million of the long term debt is on real estate assets. About $24 million was from Levelland/Hockley. Actually about $22 million was from Levelland/Hockley. There really wasn’t anything outstanding on One Earth. Over time One Earth borrowings will probably get up to about $100 million over the term of the project and the Levelland will also have some additional borrowings.
Stuart Rose: To better answer your question, each one of these plants stand on their own. They are independent projects. The corporation REX itself has not guaranteed any of that debt. They are all individual projects, many with different banks and they are all projects sustained on their own. Each individual projects.
Mike Neary - Neary Asset Management: Okay. You said you had $51 million invested in One Earth Gibson City. I thought the amount was higher than that. Did the ownership change?
Stuart Rose: $50.8 I thought was what it was always going to be. I think we might have said we could end up investing more than that. It was open for a little while but now that is the final number.
Mike Neary - Neary Asset Management: I see. You talked a little bit about the advantage of having farmers as your partners in the plants. Do you have any firm purchase contracts in terms of corn? In terms of what you have to buy or the prices you can get?
Stuart Rose: There is a little bit in Levelland and I’m sure Big River has some. But the big advantage is, I don’t know if you have read the Wall Street Journal but the stock market is significantly lower than what you are seeing on the CB uptake. Don’t…we hope to take advantage of that. I know in Levelland we are getting sorghum from our farmers at what we feel is a significantly lower price than we would have to pay if we bought corn shipped into us.
Mike Neary - Neary Asset Management: Can you give us some sense as to how much lower you feel the stock market is you feel in these plants?
Stuart Rose: I’ll be able to do it a lot better next quarter. Levelland is the one that is just opening right now. Big River has been open a long time and again by significantly lower…it is in the pennies, not in the dollars or anything but every little bit counts.
Mike Neary - Neary Asset Management: And can you give some sense of…I know we are not there yet, but your cost per gallon at these plants or just overall will the plants be profitable at these levels?
Stuart Rose: I can give you some idea. I think what you are getting to is our break even price on ethanol today at $6 corn give or take a little bit would be about $2.40. I expect the price of ethanol to, like I said, remain strong because there is a $0.50 blenders credit that blenders get technically if also gas is at $2.40 it is really at $2.90. There is huge room in there. More and more blenders are coming on board. Again, the other side of the…there are three parts of the equation. The other part is DDG’s, which is the food material that is left over after the corn or the sorghum is turned into ethanol. That is used for cattle feed and the price of that has gone up significantly. The other thing is natural gas, which the fuel that runs these plants and that fluctuates and has a lot to do with the break even price.
Mike Neary - Neary Asset Management: Okay. And last question, obviously your future value is going to depend a lot on how well you invest that $97 million. You have done a very good job in the past of investing money. Please don’t tell me anything that would interfere with your ability to negotiate good deals or anything like that. But can you just give a sense of are you seeing good opportunities today to invest that money? Is it in the traditional places you have invested it in the past? Is it in new places?
Stuart Rose: We look at everything. We look at a lot of different things. We have nothing imminent and I don’t think it is the worst thing in the world right now in this economy during these times to be heavy in cash. We look at that as a benefit. We will look to buy anything we do opportunistically just like we always do to maximize our return on investment and to maximize the transaction for the shareholders. There is nothing that I would call imminent related to the use of that cash at this time.
Mike Neary - Neary Asset Management: Okay great. Thank you very much.
Operator: Ladies and gentlemen if you’d like to register a question please press the 1 followed by the 4 on your telephone keypad. The next question comes from the line of Richard Dearnly with Longport Partners. Please go ahead.
Richard Dearnly - Longport Partners: Good morning. Just for clarification, the interest rate swap loss is that essentially recognizing the spread for the whole 2 and 5 year periods?
Stuart Rose: Yes. And we took and we were required to do it but it is a very conservative route of marking to market. What it really is is a spread between what we could have done at year end versus when we did do it.
Doug Bruggeman: We marked those all through January 31.
Stuart Rose: And because interest rates came down drastically that is where that loss is. It is a non-cash loss and it will come back in…
Richard Dearnly - Longport Partners: Right. So you are just pre-booking…and then as the loans amortize over the 2 and 5 year periods does that flow back in?
Stuart Rose: It will flow back in. Our cash outlay will be greater than our reported number. That is correct.
Richard Dearnly - Longport Partners: Okay. Then, what was the gain then? The $839,000 of interest rate scheme?
Doug Bruggeman: That actually represents the minority partners’ portion of the loss from consolidations.
Stuart Rose: In other words we booked the whole loss but we hit the book at all because we are the minority partners.
Richard Dearnly - Longport Partners: Right. What was your share of Big River’s revenue in the fourth quarter?
Doug Bruggeman: 10%. We have a 10% ownership interest. But we don’t quote the revenue. We just quote…
Richard Dearnly - Longport Partners: Another way of saying it is can you give a feeling for what Big River’s revenues were in the fourth quarter?
Doug Bruggeman: We don’t disclose that. We just pick it up as a line item.
Richard Dearnly - Longport Partners: Is the $417,000 of profit from Big River, a lot of ethanol manufacturers had losses in the fourth quarter.
Stuart Rose: We think that is again evidence of our strategy. It is a farmer-owned plant. It doesn’t have huge corporate overhead associated with it. It doesn’t…we think again it goes back to our strategy of having a lower break even number than a lot of these other public companies.
Richard Dearnly - Longport Partners: You bought back almost 800,000 shares at the end of the year and your share accounts went up 200,000 on average. If memory serves, the old 5-year option agreements should be about over.
Stuart Rose: We haven’t issued options for years but it is related. That is why the share count went up. That is the only reason it went out because investing in the ones….like you said should be. It has been a long time since we issued options.
Richard Dearnly - Longport Partners: Is that about finished now?
Doug Bruggeman: It was a 5-year vesting period but there is 10-year to life on the options. There are still about 3 million options outstanding.
Stuart Rose: But I think the question was…the vested ones I believe are included in the share counting. I think the question was on the unvested ones.
Doug Bruggeman: I think there will be remaining vesting over the next year and a half yet, approximately.
Richard Dearnly - Longport Partners: And how many shares will that represent?
Doug Bruggeman: I don’t have that right in front of me but I’ll get that for you.
Richard Dearnly - Longport Partners: Okay. You want to just take a wild guess? Is it a lot or a little?
Doug Bruggeman: Like I said the total options outstanding is about 3 million options outstanding. Most of those are vested. There are still a minimal amount that still needs to vest.
Stuart Rose: It is a shrinking number
Richard Dearnly - Longport Partners: But I mean whether they are vested or not they are included in dilution calculations.
Stuart Rose: One of the reasons why and this is getting very complicated, but one of the things that share price relates to the number of shares and because of the options it relates to the numbers of shares outstanding.
Doug Bruggeman: At year end we had 3 million options outstanding and 2.8 million of those were exercisable so there is a minimal amount left to vest.
Richard Dearnly - Longport Partners: Oh okay. And then the extraordinary volume that you had a week or so ago…what was going on there?
Stuart Rose: We have no clue to be honest. We have tried to…we called the marker maker. They didn’t know. No one has contacted us. We would like to know but I do not know.
Richard Dearnly - Longport Partners: Okay. Thank you.
Operator: Thank you. The next question comes from the line of Rick Weinhart with BMO Capital Markets.
Rick Weinhart - BMO Capital Markets: Hi guys I have a couple of follow-up’s. One there was an article I think in one of the local papers on the Patriot plant talking about bio-diesel potential in the future and using the corn oil or making corn oil from some of the byproduct or byproducts. I’m assuming that is probably in very early stages but can you just give us any information on that in terms of…
Stuart Rose: There is technology out there to do that and we’ll see what happens. My philosophy on that is let other people do it first and if they are successful. Again, we don’t control that board so they could or could not do something against our wishes although they never have. On the ones we control my feeling is to let someone else show good profits doing that and if they do then let’s jump board but let someone else make the investment and we’ll learn off their knowledge.
Rick Weinhart - BMO Capital Markets: So it sounds like you are looking at it and waiting to see what the outcome is with some other…
Stuart Rose: We are very well aware of it.
Rick Weinhart - BMO Capital Markets: I just wanted to, if we can, talk about Levelland which is now up and running. You talked about sorghum. Are you currently able to get sorghum or should you be in corn initially?
Stuart Rose: Right now because the warranty is tied to corn we are shipping in corn but we will switch to sorghum as soon as the plant is proven up to capacity.
Doug Bruggeman: Rick we are right now in the test mode with that plant. We are in a 7 day test period that we are in right now.
Stuart Rose: And that, by contract, will require the use of corn for that.
Rick Weinhart - BMO Capital Markets: Right. Okay. And then when that period is over though I am assuming at this point you have a pretty rough idea of how much sorghum is in the market place. Will you be able to run with sorghum?
Stuart Rose: We have bought sorghum and are going out through May.
Rick Weinhart - BMO Capital Markets: Through May. Okay. And then just in terms of the output of the ethanol. Have you entered any contracts on this or are you at this point selling it on the stock market?
Stuart Rose: No. We wouldn’t enter into contracts until we were certified to be up to capacity.
Doug Bruggeman: We’ve entered into a couple of contracts with some over the next couple of months but we have left ourselves open for…
Rick Weinhart - BMO Capital Markets: So it is kind of a split at this point?
Doug Bruggeman: Yes.
Rick Weinhart - BMO Capital Markets: Okay. The output in terms of the other plants…I mean are we still on time for these from what the expectations you originally set or any other update there?
Doug Bruggeman: There may have been a little bit of slippage, not a tremendous amount. We will update that when we file our [k] over the next week or two.
Rick Weinhart - BMO Capital Markets: Okay great. Thanks very much. That’s all I had.
Operator: We do have another follow-up question from the line of Mike Neary from Neary Asset Management. Please go ahead.
Mike Neary - Neary Asset Management: Stuart, the break even that you gave was that an operating break even or does that include financing costs?
Stuart Rose: That is a total including depreciation and everything.
Mike Neary - Neary Asset Management: And including finance costs?
Stuart Rose: Yes.
Mike Neary - Neary Asset Management: Okay thank you.
Stuart Rose: Any other questions?
Operator: Yes, we do have another follow-up from the line of Richard Dearnly from Longport Partners.
Richard Dearnly - Longport Partners: To clarify two questions ago, you said you sold a few ethanol contracts. You had also said you were mostly buying stock corn because it was cheaper than the forward corn.
Stuart Rose: I said Big River was. Levelland is different. That is a sorghum market, not a corn market, and to get the proper warranty on this plant we need to buy…our farmers farm sorghum in that market which is usable instead of corn but to get the warranty per the contract we are required, and per the financing, during this 7 day test period and we are only talking a very short period of time we had to buy corn and that was more expensive.
Richard Dearnly - Longport Partners: And the sorghum sort of works the same way as corn? You get 2.8 or whatever it is gallons?
Doug Bruggeman: The yield may be a little different. It is not significant.
Stuart Rose: Sorghum also has an advantage in that it is not an export. It doesn’t have the export market of corn so we think that should be a big advantage.
Richard Dearnly - Longport Partners: And I take it sorghum is…I haven’t looked at sorghum versus corn. Is it cheaper than corn?
Stuart Rose: It is, yes. For us anyway in that market it is. Again, depending on which…cheaper than CBOT corn, yes.
Richard Dearnly - Longport Partners: At this morning’s price where does sorghum stand as related to corn as you would buy it in a flat market?
Stuart Rose: I believe we bought sorghum roughly at $5.80 for the next month’s production.
Richard Dearnly - Longport Partners: And what would corn be if you bought it the same day?
Stuart Rose: I don’t know. I don’t have the answer to that.
Richard Dearnly - Longport Partners: Okay. Back to Big River, my impression was that spot ethanol was going higher than futures ethanol.
Stuart Rose: That’s for sure.
Richard Dearnly - Longport Partners: So why are…and you said you had sold a few ethanol some ethanol forward. Is that just to…
Stuart Rose: No, Big River did. That’s one where you need to understand we only own 9% of that. They have done…what they were able to do and again going forward I’m just talking about looking back. They were able to match their corn going forward with their ethanol and lock in some profit.
Richard Dearnly - Longport Partners: I see. Right. You sound like you are relatively sanguine about the ethanol pricing because of blender uptake and infrastructure build up and all that?
Stuart Rose: At $100 oil I will be shocked if ethanol doesn’t follow the price over the long term of unleaded gasoline. And we get a $0.50 advantage. So you put that all together I am very optimistic about the ethanol business even though there is a lot of doom and gloom out there. People aren’t realizing that we have a byproduct that DDG’s that is going up in price and we have a main product, a gasoline which is going up in price. Yes, we are paying more for our raw product but we also should theoretically and I believe will get a much, much higher price from the end product.
Richard Dearnly - Longport Partners: I see. Okay. Thank you.
Operator: Mr. Rose there are no further questions. At this time I’d like to turn the conference back to you.
Stuart Rose: I’d like to thank everyone for listening. Again thank our employees for putting together what I think was a terrific year and again we appreciate everyone’s support. Thank you.
Operator: Ladies and gentlemen that does conclude the conference call for today. We’d like to thank you for your participation and we ask that you please disconnect your lines. Have a great afternoon everyone.